Operator: Good morning, and thank you for standing by. Welcome to the Mitcham Industries Fiscal 2013 Fourth Quarter Call. [Operator Instructions] As a reminder, this conference is being recorded today, April 4, 2013. I would now like to turn the call over to Karen Roan of Dennard-Lascar Associates. Please go ahead.
Karen Roan: Thank you, Kerry. Good morning, and welcome to the Mitcham Industries Fiscal 2013 Fourth Quarter and Year-end Conference Call. We appreciate all of you joining us today. Your hosts are Bill Mitcham, President and Chief Executive Officer; and Rob Capps, Executive Vice President and Chief Financial Officer. Before I turn over the call to management, I have a few items to cover. If you would like to listen to a replay of today's call, it will be available for 90 days via webcast by going to the Investor Relations section of the company's website at mitchamindustries.com or by a recorded instant replay until April 11. Information on how to access the replay was provided in yesterday's earnings release. Information reported on this call speaks only as of today, Thursday, April 4, 2013, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. Before we begin, let me remind you that certain statements made by management during this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and include known and unknown risks, uncertainties and other factors, many of which the company is unable to predict or control, that may cause the company's actual future results or performance to materially differ from any future results or performance expressed or implied by those statements. These risks and uncertainties include the risk factors disclosed by the company from time to time in its filings with the SEC, including in its annual report on Form 10-K for the year ended January 31, 2012. Furthermore, as we start this call, please also refer to the statements regarding forward-looking statements incorporated in our press release issued yesterday, and please note that the contents of our call this morning are covered by those statements. Now I would now like to turn over the call to Mitcham's President and CEO, Bill Mitcham.
Billy F. Mitcham: Thanks, Karen, and good morning, everyone. We'd like to thank you for joining us today for our fiscal 2013 fourth quarter and year-end conference call. I'll start by making some general comments about the quarter and year before turning the call over to Rob, who will discuss our financial results in more detail. I'll then conclude it with a discussion of our market outlook before opening the call for questions. As we discussed in our last call, we had expected this year's fourth quarter results to be lower than the record fourth quarter a year ago due to lower leasing revenues, but it still came in below our internal expectations. On a positive side, Seamap, as anticipated, had another strong quarter, with revenues reaching almost $9 million, which included the delivery of GunLink 4000 and a BuoyLink system for a new-build vessel. Our fourth quarter results were affected by late starts to the winter seasons in both Russia and Canada. Many projects did not begin until mid to late January, while normally, projects in Russia begin in mid-December and projects in Canada in early January. If those projects had started within the normal timeframe, we believe the fourth quarter results would have at least, at the very least, met our expectations. Despite the late start to the winter season, we currently anticipate that our leasing revenues in Canada and Russia for this winter season will exceed those of last year. The magnitude of the improvement will largely depend upon exactly how long certain lease projects last. We've already seen some projects ramp up, but others are continuing, at least partially, into April. We had anticipated an even stronger winter in Russia this year, but a large project, about 12,000 channels, that were scheduled begin in late January, was canceled at the last minute, as the oil company decided not to do the project this year. Fourth quarter activity in Latin America continued to be impacted by project delays, with many assets remaining idle due to ongoing permitting and regulatory issues. Right now, we have about 20,000 channels ready to go in that region, but excessive permitting requirements and red tape continue to cause delays and may force some operators to wait out the upcoming rainy season and delay the beginning of some jobs until summer. While results from Latin America were well below our expectations both for the quarter and year, there's great deal of seismic work pending there, particularly in Colombia. And the region remains quite active in terms of bidding. We're well positioned in the region. And Latin America continues to be a part -- a promising area of growth for us during fiscal 2014, especially beyond the first quarter, as well as over the longer term. European activity also remains subdued to ongoing political, economic and environmental concerns though there are some signs of improved activity. We have bids pending there that would utilize much of our equipment in the region for a large part of this coming year. The U.S. landmark, it continued to see somewhat sporadic activity in the quarter, and leasing revenues were well below fourth quarter of last year, which included an unusually large job that contributed over $4.5 million in revenue last year. Our marine leasing business had another solid quarter, reflecting continuing bid fundamentals in the marine seismic market. And we saw a substantial improvement in land leasing activity in the Pacific Rim. While our fourth quarter results were disappointing, many of the factors that contributed to these results are simply part and parcel of the seismic business and do not, in any way, detract from the fundamentals of the seismic industry or imply that the model is broken. In fact, if you really put this year into perspective, you'll see that fiscal 2013 was still the second best year in our history, with total revenues reaching almost $105 million. Equipment leasing also had its second best year ever, with total -- revenues totaling $55 million compared to our all-time high of $70 million last year. Seamap had a record year, with over $32 million in revenues, up 10% from fiscal 2012, and over $17 million in gross profit, up 35% from last year. Marine leasing had its best year ever, and activity continues to be solid. We added about $39 million to our lease pool in fiscal 2013, including three-component digital and cable-free equipment, and generated annual EBITDA of over $48.5 million. Fiscal 2013 net income was $17 million, and we reported diluted earnings per share of $1.29. Our financial position remains very strong with no net debt. And we generated free cash flow in fiscal 2013 and anticipate doing so again next year, in fiscal 2014. But we believe that our current stock price does not reflect the strength of our financial model nor the value we have created through our product and geographic diversification. As a result, our Board of Directors has authorized a stock repurchase program for up to 1 million shares of our common stock. Management and the board believe that depending upon market conditions, the repurchase of our own shares is an attractive use of capital -- of our capital and our further commitment to return value to our shareholders. With that, I'll turn the call over to Rob, our Chief Financial Officer, who will give you a more detailed review of our financial results. And after Rob's discussion, I'll return with some final comments.
Robert P. Capps: Okay. Thanks, Bill, and good morning, everyone. I'll begin, as usual, by discussing the top line of each of our 2 segments, which are, of course, equipment leasing and Seamap. Then I'll follow up with a discussion of the profitability of each of the segments and conclude with a discussion of our consolidated results and our financial position. First, let me review our equipment leasing segment, which includes not only our core leasing business but also non-Seamap equipment sales, such as occasional sales of our lease pool equipment, new seismic equipment that we acquire from third parties, sales of heli-transport equipment and sales of new hydrographic and oceanographic equipment from our Australian subsidiary, SAP, or SAP as we call it. Our core leasing revenues in the fourth quarter were approximately $12 million, down about 50% from last year's great fourth quarter and up about 5% from this year's third quarter. The year-over-year decline in leasing revenues was primarily due to lower land leasing activity in the U.S., Latin America and Europe, as well as the late starts to the winter seasons in Canada and Russia, as Bill discussed in his opening remarks. Now regarding Canada and Russia, we have a substantial number of channels in those regions, particularly in Canada. If those jobs start light, it can have a significant impact on our equipment leasing revenues. Overall, we expect our Russian and Canadian winter seasons to be stronger than last year, although in Canada, this weather in general is softer than in prior years, with fewer crews working. Also, we were not able to deploy as many channels as we had hoped in Russia due to the project cancellation that Bill mentioned earlier, although this primarily affects the first quarter, not the fourth. Sales of lease pool equipment were $4 million this quarter compared to $3.4 million in the same quarter last year. Other equipment sales, which include heli-picker sales, as well as sales from SAP, were $3.9 million compared to $2.6 million in the fourth quarter a year ago. Contributing to the increase in SAP equipment sales in the quarter was increased demand from various entities throughout Southeast Asia. Now turning to our Seamap segment, which designs, manufacturers and sells a variety of products and systems used in marine seismic applications. As expected, Seamap had another good quarter, with revenues increasing 21% at $8.9 million from $7.3 million in the fourth quarter a year ago. We had one large project delivered in the fourth quarter, consisting of a GunLink 4000 and a BuoyLink system to a new-build vessel. The balance of the sales in the quarter were derived from the sales of various other products, such as weight collars and ongoing spare parts, repairs and support services. And now let me talk about the profitability of each of the segments. The gross profit from our equipment leasing segment in the fourth quarter was $4.44 million compared to $18 million in the fourth quarter of fiscal 2012. The fourth quarter gross profit margin in the leasing segment was 23% this year compared to 61% in the fourth quarter last year. The decline in gross margin is due to our lower leasing revenues and higher depreciation expense arising from our investment in new equipment in fiscal years 2012 and 2013. Gross profit in the fourth quarter for our Seamap manufacturing business rose to $4.3 million from $2.9 million a year ago. This represents gross profit margin at 48% and at 44%, respectively. Our overall gross profit in the fourth quarter was $8.8 million compared to $21.3 million in last year's fourth quarter. This represents an overall gross profit margin of 31% compared to 57% a year ago. This quarter's decline in overall gross profit margin is, once again, due to the lower leasing revenues and higher depreciation expense. Now let me touch on just a few other items in the P&L. Our general and administrative expenses were approximately $5.6 million in the fourth quarter of fiscal 2013, down from about $6 million in last year's fourth quarter. The tax provision for the quarter was a benefit of $50,000, reflecting the effect of higher earnings in jurisdictions with lower tax rates and the benefit of permit differences in certain of those jurisdictions. Our effective tax rate for all of fiscal 2013, before the impact of the $5.3 million benefit that we recorded in the second quarter, was about 13%. This effective rate for the year is lower than the U.S. statutory rate because of the effect of those foreign earnings at lower tax rates and the effect of those permit differences that I just mentioned. Our fourth quarter EBITDA was $12 million or 42% of revenues compared to $22.5 million or 61% of revenues in last year's fourth quarter. Now please keep in mind that EBITDA is a non-GAAP measure as reconciled to reported net income and cash provided by operating activities in the financial tables in yesterday's press release. We reported net income in the fourth quarter of $3.4 million or $0.26 per diluted share. This compares to net income of $10.2 million or $0.77 per diluted share in the fourth quarter a year ago. So let me make just a few comments about our financial position, and then I'll turn the call back over to Bill. During fiscal 2013, we purchased roughly $39 million in new lease pool equipment. We now have over 230,000 land channels, which includes over 100,000 three-component digital channels and over 25,000 channels of wireless equipment. We will continue to selectively enter our lease pool based on our customer needs. At this point, we expect our additions to our lease pool in fiscal 2014 to range between $23 million and $28 million. Mitcham's overall financial position remained strong. At the end of the quarter, we had over $48 million of working capital; cash and cash equivalents of about $16 million; about $4 million outstanding at our revolving credit facility, leaving us with no net debt. Despite the decline in our operating results during fiscal 2013 compared to the previous year, we still generated significant cash. For fiscal 2013, our cash provided by operating activities was up at $44 million. Our fiscal 2013 adjusted EBITDA was $50 million, and additions to our lease pool were about $39 million. Now we estimate our free cash flow from this past year to be about $15 million. That's calculated by taking adjusted EBITDA less lease pool additions other capital expenditures, less net interest and current income taxes, then adding back the cost of lease pool equipment sales. And with that, I'll turn things back over to Bill.
Billy F. Mitcham: Thanks, Rob. Most of the issues that impacted our business in the second half of fiscal 2013 were either the repairing part of the seismic business or macroeconomic issues that are well outside of our control. The fact remains that the underlying fundamentals of the seismic business are healthy and quite promising as West Texas intermediate crude price is around $95 per barrel level. Even U.S. natural gas prices have been on the uptick lately, rising nearly 18% in 2013 and currently close to the $4 level. Exploration and production spending for calendar 2013 is currently anticipated to be at least as strong as last year, and we remain well positioned to take advantage of seismic rental opportunities around the world. Subject to the overall economic picture, we should directly benefit from any improvement in land activity as the $190 million in equipment purchase we've made over the last 5 years has positioned us to deliver the seismic equipment most in demand by our customers where they want it and when they want it. Although Latin American land activity has not picked up as rapidly as we had expected, we anticipate improvement in that region this year as there are a number of surveys scheduled for completion in Colombia by the end of this year and numerous other contracts that we are bidding on in Argentina, Bolivia, Brazil, Mexico and Peru. A lot of permitting and regulatory issues that have been experienced by our customers are still a concern. We believe Latin America is one of our most promising growth markets and that it should be an area of strong activity over the next several years. We continue to see renewed interest in some of our other products in that region, including Sercel Cable-Free Unite, DSU3 digital sensors and downhole applications. We're also starting to see renewed activity in certain parts of the Far East and a pickup in activity in some parts of Eastern Europe. Our marine leasing business should continue to exhibit steady growth, reflecting the company fundamentals in the marine seismic market. The outlook for Seamap is extremely favorable as we expect to benefit from equipping new-build vessels and from re-equipping older vessels with our new or more efficient technology. These factors should combine to provide us the opportunity to install our GunLink and BuoyLink systems to more vessels, further growing our installed base in those products. In turn, it will help a bit to add incremental sales to our other equipment, replacement parts, engineering services and ongoing support work. Overall, we expect to see increasing demand for our Seamap products, although, as we've stated before, results may be uneven or lumpy due to timing and magnitude of orders and deliveries. So to recap, the fundamentals of the oil and gas industry, in general, and the seismic data acquisition industry, in particular, remain strong. Oil prices are still at healthy levels, and constrained capital spending should continue to drive demand for our rental products. We expect to see a much improved first quarter relative to the fourth based on strong winter rental seasons in Canada and Russia. However, leasing revenues will only be slightly above or flat with last year's record first quarter, and Seamap revenues will be down in Q1 versus Q1 last year, with full year revenues to be back-end loaded. Based on our current outlook, we expect fiscal year 2014 results to be an improvement over fiscal 2013, but it's still early in the year, and we're very encouraged by the recent number of bid requests for longer-term, high-channel count jobs. Kerry, that concludes our formal remarks. We'll be happy to take any questions.
Operator: [Operator Instructions] Our first question this morning comes from Veny Aleksandrov at FIG Partners.
Veny Aleksandrov - FIG Partners, LLC, Research Division: My first question is on the U.S. land. It was -- it's not so strong in the quarter. And can you just -- can we drill down a little bit? Was it weather and permitting issues? You said that you have a very high number of bid requests. Can we see revival on this side in 2014?
Billy F. Mitcham: So we're talking about land -- U.S. land revenues. Well, compared to last year, we had several wireless jobs that were in the fourth quarter that just hit right straight into war. And a lot of those wrapped up, we had one rental long-term job of 8,000 channels that didn't reoccur this year, Veny. So we have a lot of people moving around, and we expect the U.S. to pick up over the year, but it just didn't happen in the fourth quarter.
Robert P. Capps: Yes, and I think we -- as we've said, we see some sporadic activity. There are pockets of some pretty good activity, and there are some projects out there which are promising, but it is sporadic. There's a lot of competition among the contractors in the U.S., and so I think we see that overall activity being kind of sporadic going forward, although, again, there are some pretty interesting jobs pending out there.
Veny Aleksandrov - FIG Partners, LLC, Research Division: Great. And only one question, Bill, I promise. So South America, the course are once again weaker than last year, but how much was because of the rainy season and how much was because of U.S. permitting delays?
Billy F. Mitcham: Some of it was rain, rain in the early years is gone. I mean, that was -- but most everything that we've experienced in the fourth quarter was permitting. I mean, the weather wasn't bad and we got -- as said, we got equipment tee-ed up, ready to go. It's just getting it out the door on jobs. We've got equipment sitting, waiting. And that's -- not a lot you can do about the permitting issues. All right? They're really struggling with permits down there.
Veny Aleksandrov - FIG Partners, LLC, Research Division: All right. But you're seeing some improvement hopefully?
Billy F. Mitcham: Well, we have some jobs going out the door. We hope in the next month or so.
Robert P. Capps: We actually have some things kick off, at least 2 jobs, 2 relatively smaller jobs kick off in March, yes, in March.
Billy F. Mitcham: Yes.
Robert P. Capps: Well, in March and April. But there are still a lot of channels sitting and waiting to go. And again, the jobs are in place, the contracts are in place. Yes, this is -- our customers just can't get out the field because they can't get all the permits there, and it's really frustrating to them. This is examples of a long-term customer there who can't get their permit for an additional fuel for their helicopters. Permits have been pending for 9 months, and so they can't go to work because they can't get the permit to get fuel. So the system, the bureaucratic red tape has really gotten bad down there recently.
Operator: And our next question comes from Ryan Fitzgibbon at Global Hunter Securities.
Ryan Fitzgibbon - Global Hunter Securities, LLC, Research Division: Canada and Russia. All right, I'll start off in Canada and Russia. Can you maybe able to quantify the leasing revenue impacts or, I guess, increase -- you're expecting Q1 lease [ph] versus Q4 of fiscal '13? I guess -- or if it's easier, what was the contribution last year from that market, those 2 markets, and that was supposed to be up kind of on a year-over-year basis?
Robert P. Capps: Yes, so contribution in Canada and Russia last year's first quarter?
Ryan Fitzgibbon - Global Hunter Securities, LLC, Research Division: Yes, sir.
Robert P. Capps: I don't have, Ryan, that number at hand. Let me give you a sense of magnitude. I mean, we have in Russia probably about 4,000 channels additional deployed this year versus last year. We expected to have another 12,000, as Bill mentioned, but just they got canceled the last minute. In Canada, we have about another 15,000 stations in DSU this year versus last year. And psi [ph] utilization is comparable, I think, between the 2 years at least so far. As Bill said of what's the unknown is we have some jobs that are ongoing as we speak. And those things wrap up this week, next week, end of the month, middle of the month, that's what we just don't know at this point.
Ryan Fitzgibbon - Global Hunter Securities, LLC, Research Division: Okay, now that's very helpful.
Robert P. Capps: That helps? Okay.
Ryan Fitzgibbon - Global Hunter Securities, LLC, Research Division: Yes. Second question will be on the Seamap side of the business. Where does the backlog stand today? I know Q1 of last year, you delivered several GunLink and BuoyLink systems in the quarter. So I understand it's down on a year-over-year basis, but should we expect some deliveries, maybe flat with Q4 levels in Q1? And how does that backlog trend throughout the year? I know it sounds like the majority of the revenues are more back-half weighted, if I understand it correctly.
Robert P. Capps: Yes. So backlog at end of the year and where it is today, I can't tell you exactly. At the end of the year, it was only about $3 million, which is not unusual. We'd normally see backlog go up and down all over the place. So we do not have any large system delivery scheduled in the first quarter, so we would expect to be down, versus the fourth quarter, in the first quarter. We do start to have system deliveries in the second quarter and then all throughout the year. And I've said, the timing of some of those is still being worked on. And that's why we say we see the Seamap business to be back-end loaded this year primarily.
Ryan Fitzgibbon - Global Hunter Securities, LLC, Research Division: Okay, that's definitely helpful. And then if I can, a follow-up to that question. What are you seeing as a good aftermarket revenue run rate for that business right now? And is there any additional capital you need to maybe deploy to the Seamap side to increase capacity? Or are we not capacity constrained at this point?
Robert P. Capps: We're really not capacity constrained there. I mean, we have ample capacity to do anything we need to do, all right, because, again, it's still a relatively low-volume business from a quantity standpoint. I think your real question is, absent the big system deliveries, what can we expect quarter-to-quarter, and that's a tough question because we do have other things we sell, such as weight collars and things like that. But I think we'd probably see $3 million to $4 million a quarter in just support aftermarket business, not counting all the other ancillary sales. So kind of a $4 million to $5 million steady-state business is probably not unrealistic, without [indiscernible].
Operator: Our next question comes from Joel Luton of Westlake Securities.
Joel D. Luton - Westlake Securities LLC, Research Division: Just a couple of questions and some already allocated to. But in terms of your CapEx expectations for '13, what is that? And also -- and then I'm going to cap this as one question. In talking with you all before, you really -- the bulk of your cable is that your channels are cabled versus cable-less. And there definitely seemed to be a trend, at least talking with a lot of -- like Global Geo and Dawson, that they are switching their systems to a cable-less network. Do you anticipate doing that going forward, spending more of your CapEx to build a cable-less or nodal system to replace your cabled systems?
Billy F. Mitcham: First off, Joel, we're not going to build a system to replace any of our cables. We'll look at -- there's a number of cable-less systems on the market. We own 2 of those. We own some -- quite a bit of Sercel Unite, and we also own some Geospace GSR. And in terms of replacing our cable, the market kind of dictates what we do in that case. Certainly, there's a number of people that have gone to the cable-less system, but there's probably an installed base out there somewhere in the neighborhood of 4-plus million wired channels, and they're not just going to go away overnight. I think as more people add CapEx, which we talked about our CapEx for this year being somewhere in the neighborhood of $23 million to $28 million, I think you'll see more people buying certainly into the cable-free market. But again, our customers dictate that, and we see a lot of future for our cable equipment still. But we'll buy cable-free equipment as we need to, as the market tells us to.
Joel D. Luton - Westlake Securities LLC, Research Division: Do you think in this year you'll be -- the bulk of your CapEx will be going toward cable-free?
Robert P. Capps: A good part of it will, yes.
Joel D. Luton - Westlake Securities LLC, Research Division: Okay. And then just one more question. What's your -- what do you expect your effective tax rate to be this year?
Robert P. Capps: Going forward?
Joel D. Luton - Westlake Securities LLC, Research Division: Yes.
Robert P. Capps: It's approximately 20%.
Operator: Our next question comes from Tyson Bauer of KC Capital.
Tyson L. Bauer - Kansas City Capital Associates: A quick question. Given these delays that we've experienced in Latin America, can you give us a sense -- obviously, you've got 20,000 channels sitting in a warehouse. You must have some degree of confidence that will be utilized sometime this year and especially through the summer months. Give us a sense of the permit life and why you are feeling fairly confident that those channels will be put to use this summer maybe as opposed to last year or other times? Are we compressed in any way or have any kind of deadlines that we're hitting?
Robert P. Capps: Yes. Actually, it's an interesting question, Tyson. I'll talk about Colombia, in particular, and for Ecopetrol in Columbia, that oil company, they have, I believe, it's 13 -- 12 or 13 permits -- or projects, rather -- concessions is the word I was looking for -- that are scheduled to be -- to have seismics onto them by the end of this year, and only one of those has even started yet. So there -- as I always say, there's all this pent-up demand for what we see and from what our customers see. And we talk to the oil companies also to some degree. So we think there is this pent-up demand. And again, by the terms of the permits or of the concessions, it's supposed to be shopped by the end of this year. So that tells us there is going to be -- there should be a flurry of activity, and they are big activity on the context we have lined up. We will support that. So that's the reason we have some confidence in this, that we're going to see things improve.
Tyson L. Bauer - Kansas City Capital Associates: Well, that sounds good. Second question then is when do we start to get a sense on the real activity and the true demand coming from the Eastern Europe and the CIS area to transition some of those channels from Russia into that new summertime geographic region?
Robert P. Capps: Well, you kind of -- you just answered your question. It's in the summertime, I think, is when we expect to see -- the things that we have out now are really for our work that would start in the summer, late spring and summer. So I think that's when we'll start to see activity.
Tyson L. Bauer - Kansas City Capital Associates: Any loosening up of regulations or anything, like Poland, down those areas that have been tied up in prior years?
Robert P. Capps: There is nothing specific that's pending to happen out there. Again, we're seeing the activity seem to loosen up. I think if you read the paper, I think most of the environmental concerns in certain lot of areas had loosen up a bit, and certain of the environment -- the political situation has stabilized in much there, particularly Romania.
Operator: [Operator Instructions] Next question comes from Georg Venturatos at Johnson Rice.
Georg P. Venturatos - Johnson Rice & Company, L.L.C., Research Division: I just wanted to talk about winter season. Obviously, we're hoping it extends a little longer in Canada and Russia. Given -- we typically have that transition period, 2Q, moving those channels, and we seem to have some incremental channels in those regions. Given what we know today, where are those likely to be relocated if you had to think about it right now? I mean, do you put more back down in Latin America, hoping that we kind of move through some of these permit issues by then? Or what are you thinking right now?
Billy F. Mitcham: George, we're not saying anything about sending any anywhere right this minute. I mean, we'll see how the summertime sets up, and certainly, we can move that equipment in days. Now in terms of the winter season in Russia, when it's over, we'll look at moving some of that equipment. But we have some, the 12,000 channels that didn't go, they're staged and ready to go. We've got those back in Budapest. Yes, we have those back in Budapest. So any 6,000, 8,000, 10,000 channel job, we'd take care of the first one, and then we'll move that equipment, check, test and repair it, and be able to move that out of the Russian market at any time. And we'll see how South America shapes up. We certainly like to be able to move some more equipment down there, but we're not going to move equipment unnecessarily, but we're prepared to do it whenever we need to.
Georg P. Venturatos - Johnson Rice & Company, L.L.C., Research Division: Right, understood. And you guys touched on this a little bit earlier. But on the Seamap side, remind me how far out our visibility is there. I know you mentioned some orders that you had for 2Q. I mean, the back half-weighted comment, is that based on discussions, or do we have some things booked? How should we think about that?
Robert P. Capps: A little of both. I mean, certainly, there's some discussions that -- what we say booked, we've set -- puts them in our backlog. That means we have a purchase order -- noncancelable purchase order in hand. So it's not unusual that we'll have extensive discussions and negotiations with a customer and really have the delivery schedule worked out well before actually getting the PO at hand. So that's the reason I'd say that the backlog numbers can be really misleading in a lot of ways. So I mean, if someone called us today and said, "I want a GunLink 4000," I mean, delivery is kind of 6 weeks.
Billy F. Mitcham: 16.
Robert P. Capps: 16 weeks. Yes, 16 weeks, 4 months. And so that gives you a sense of how quickly we can resolve. But I'll tell you that we are in discussions with several customers about systems, and we have some activity in the pipeline as we speak. So we keep some level of activity in the pipeline, so we can respond more quickly to things that come up kind of out of the blue, if you will.
Operator: [Operator Instructions] I don't see any further questions. I am going to turn it back to management at this time.
Billy F. Mitcham: Well, thank you, all, again, for joining us on the call and for your interest in Mitcham. And we look forward to talking to you again after the conclusion of our first quarter. And Veny, it's always a pleasure to talk to you. Thank you so much for calling in. Talk to you soon. Bye-bye.
Operator: Thank you, again, for joining the Mitcham Industries Fiscal 2013 Fourth Quarter Conference Call. If you wish to listen to a playback of this conference, please dial 1 (866) 949-7821. You may now disconnect. Have a great day.